Operator: Good afternoon, ladies and gentlemen, and welcome to the E2open Fiscal Second Quarter 2023 Earnings Call. [Operator Instructions]  
 It is now my pleasure to turn the floor over to your host, Adam Rogers. The floor is yours. 
J. Rogers: Good afternoon, everyone. At this time, I would like to welcome you all to the E2open Fiscal Second Quarter '23 Earnings Conference Call. I am Adam Rogers, Head of Investor Relations here at E2open. 
 Today's call will include recorded comments from our Chief Executive Officer, Michael Farlekas; followed by our Chief Financial Officer, Marje Armstrong. And then we'll open the call for a live Q&A session. A replay of this call will be available on our website. Information to access the replay is listed in today's press release, which is available at e2open.com in the Investor Relations section. 
 Before we begin, I'd like to remind everyone that during today's call, we will be making forward-looking statements regarding future events and financial performance, including guidance for our fiscal third quarter and full year '23. These forward-looking statements are subject to known and unknown risks and uncertainties. E2open cautions that these statements are not guarantees of future performance. We encourage you to review our most recent reports, including our 10-Q or any applicable amendments, for a complete discussion of these factors and other risks that may affect our future results or the market price of our stock. And finally, we are not obligating ourselves to revise our results or these forward-looking statements in light of new information or future events. 
 Also during today's call, we'll refer to certain non-GAAP financial measures. Reconciliations of non-GAAP to GAAP measures and certain additional information are included in today's earnings press release, which can be viewed and downloaded from our Investor Relations website. 
 And with that, we'll begin by turning the call over to our CEO, Michael Farlekas. 
Michael Farlekas: Thank you, Adam, and thank you all for taking the time to join our earnings call for the second quarter of fiscal 2023. First, I'd like to thank our nearly 4,000 team members for another great quarter. More than anything, we are a people business. Our software begins with our great team. Our clients drive immense value from our software because we have assembled what we believe of the world's foremost experts in the broader supply chain space.
 We have strong second quarter and first half of the year, and we're excited to share our financial results with you. I'll start by highlighting our second quarter results and what we observed in the broader macro environment based on our network and the data we are seeing. I'll focus much of our call on Q2 commercial and operational highlights that are critical milestones for us as we pursue our strategic objectives for 2023 and beyond. Marje will then cover the Q2 financial results in more detail. 
 Over 7 years ago, we set out to build a scaled, compounding business that generates highly profitable growth, focused on one of the largest enterprise software markets, solutions for the most complex supply chains in the world. We have and are building our business to generate increasing organic subscription growth over time with high margins and a high translation to cash based on operating efficiencies and low capital intensity. This profile again presents itself on our second quarter results despite a challenging economic and geopolitical environment.  
 In Q2, we generated $132 million in subscription revenue, which is our key indicator of long-term durable client relationships. Subscription revenue was 82% of our total revenue of $161 million and grew 11% organically on a constant currency basis. Our Q2 adjusted EBITDA was $48 million and represented a 30% EBITDA margin. Furthermore, we generated over $40 million of adjusted unlevered free cash flow. This is equal to 84% of our EBITDA and 25% of our revenue. Despite significant FX headwinds, investing in strategic efforts for our future growth and absorbing integration costs from our recent acquisition of logistics, we remain highly profitable, a testimony to the resilient business we have built and our unwavering focus on balancing growth and profitability that drive long-term shareholder returns.  
 While foreign exchange fluctuations are a headwind to our reported results for us and many other global SaaS companies right now, our constant currency results reflect the strong underlying fundamentals in our performance. That said, we continue to see in the data from our network, a weakening economy. Specifically, we have observed that ocean bookings began to decline in the late spring and today are down about 30% from a year ago.  
 In addition, we are now seeing the spot rates for U.S. over-the-road transportation drop, demonstrating increasing capacity in the North American trucking market, another indicator that economic activity is slowing. As we mentioned on our last call, we have carefully built and, in many cases, transitioned subscription revenue sources from being volume-dependent to fixed in nature, meaning any volume impacts with our clients have a small impact on our revenue.  
 The unusual and challenging economic conditions today are largely a result of 3 significant changes over the past 6 months, number one, a rapid and dramatic shift in consumer behavior as the pandemic ended. Volume behaviors change from durable goods consumption to travel and services-based consumption. There is a smaller multiplier effect when supplying a service as compared to supplying a hard good. As a result, economic activity is slowing. We saw the opposite of this in our data in the fall of 2020 as the COVID experience began. The war in Ukraine and the broader impact to the European economy. And lastly, central banks are rapidly unwinding the support they provided the economy prior to and during the pandemic period.  
 Despite the macro challenges we are seeing, we are maintaining our guidance on a constant currency basis while taking prudent actions to invest in the future and absorbing a $13 million FX-related headwind to maintain our original guide on EBITDA and gross margin. We built this business to have multiple ways to win in all environments, and as such, we are able to meet our growth and margin expectations despite the elongation of sales cycles. A great example of multiple ways to win is the expansion of the announcement we made with Uber Freight on our last call. We are taking our first important step, albeit small, to create incremental value for the members of our network of over 400,000 connected parties. This creates an incremental revenue source for us. I'll provide more details in a few minutes when I share some Q2 highlights. 
 E2open's strategic objective is to continually generate highly profitable growth by becoming a standard bearer for a very large supply chain software market. E2open is a network business, which was built to support how the largest brand owners actually make and ship goods. Today, they do that through using a network of service providers that need to be continually connected to very sophisticated applications that the brand owners use to make real-time decisions as autonomously as possible. Our network is made up of those very service providers and our software are those sophisticated AI-enabled applications that our brand owners rely on every day.  
 When we deploy our software, we become the primary system of record for our clients. And the software and data connections we provide through our network become the operational backbone for the world's largest companies, providing the connections to our client service providers and best-of-breed software to our clients. We become embedded in our clients' operations over time, which allows us to enjoy a 15-plus-year relationship with our top 100 clients. Those relationships and the use of our platform grows over time. While we have done a nice job building a connected software platform, built upon a 400,000 part of network of service providers, we know that to accomplish our strategic objectives, we need to become more well known to the broader market and build strategic relationships with the world's largest system integrators. This cannot be done without work and investment and will not happen overnight. 
 So next, I'll discuss our Q2 highlights and describe how these milestones support our FY strategic goals and our broader plans to build our business. Marje will provide more details on our financial performance and also an update on our previously announced growth investment. Let me start with our investment this year to further inflect our growth rates in FY '24 and FY '25.  
 The purpose for our strategic investment of $20 million this year is to accomplish 2 important goals and emerge as the connected supply chain platform. The first is to build our brand to become more well known in our buying communities and increase our business development operation to identify more top-of-the-funnel opportunities. Second is to build strategic partnerships with the large systems integrators, recognizing the important role they play in the buying and delivery process for software like ours. Stated in a different way, we have been able to build a $600 million-plus business, mid-30% EBITDA growing at double digits without a well-known brand and without the benefit of strategic support from the integrated community.  
 We are incredibly excited to show the world what we can do as we build our brand, further scale our commercial organization and add the world's largest system integrators as strategic partners. We began this work in earnest in our second quarter. We refreshed and positioned our brand as a leader in supply chain enterprise software, relaunched e2open.com, invested in our sales force and made significant gains in forming key partnerships critical to our future success.  
 On the brand side, we are seeing our share of voice metrics improve sequentially, and our data indicates we are now #2 in the supply chain technology market. Further, we are at or above target for 4 of the 5 milestones we have built to ensure we're on track with this critical investment. We are investing and building an ecosystem of strategic relationships with global systems integrators such as KPMG and Accenture and others to increase the universe of certified people to deploy our solutions and also to drive more opportunities with increasing velocity and win rates. We have identified that partners have a significant role with approximately 25% of our in-play pipeline for the balance of this year. 
 Of these partner-influenced opportunities, several large opportunities have been brought to us directly by them or progress through the pipeline much faster than they otherwise would have. Although it's early, this is a key indicator that our progress is on track. By the end of the year, we'll have trained and certified over 75 engineers within these integrators who will serve as a foundation for future train the trainer efforts. Our goal is to unlock the extraordinary influence and capacity these global integrators bring to our marketplace by investing in the training and certification of their engineers.  
 These certified resources will see the development of the global services practices these global integrators have committed to building around our software. This investment is essential to allow our customers to access their own trusted advisers and professional services providers to complement our own world-class capabilities in the selection and deployment of our solutions.  
 Moving to our platform of integrated best-of-breed supply chain applications. Let me highlight one of the many go-lives of an end-to-end integrated solution for a large global retailer that describes the differentiated value, having a very broad application platform and the foundation of a network creates. This client story describes exactly our strategy and is exactly how we scaled our business 10x in 7 years while increasing growth rates and profitability along the way. This large global retailer selected E2open Global Logistics Orchestration solution to use many elements of our platform to provide an end-to-end application with a focus on collaboration across the network of suppliers and service providers.  
 The solution reduces shipping times, builds greater agility in their supply chain and reduces overall supply chain costs. This solution was sold in the fourth quarter of our last fiscal year and combined our global trade solution, our collaboration platform and the then recently acquired BluJay TMS solution. Wave 1 is now live, consisting of trade automation and our transportation management system, or TMS, with a focus on providing export visibility across the distribution network in the Gulf region. Combining global trade and our TMS into one integrated solution is very unique in the market as one of the many strategic reasons we made the combination with BluJay in the first place. We sold this solution 1 quarter after acquiring BluJay and delivered the integrated solution within 6 months.  
 Wave 2 adds supplier collaboration across the client's global network of over 2,000 suppliers, enabling greater collaboration communication between our clients and their suppliers. In the final wave going live later this fiscal year, we are deploying E2open's full logistics orchestration, providing integrated import and export shipping experience with automated bookings, global trade and transportation capabilities.  
 I wanted to focus on this specific example as it perfectly describes how we provide differentiated value to our clients and how embedded our solutions become over time. This highlights a uniquely differentiated solution we offer when we integrate our combined companies quickly and generate differentiated value for our clients by leveraging all aspects of our platform of very sophisticated applications and the world's largest supply chain network. 
 Next, I'd like to highlight our recent technical and commercial innovation. During our last time together, we mentioned a strategic partnership with Uber Freight, which is now live. Our relationship with Uber Freight creates an entirely new source of value for our brand owners as well as Uber Freight as a network participant. This partnership allows Uber Freight, a digital freight broker, to use our combined technologies to automatically offer real-time spot market rates to all shippers that use our transportation management system. 
 For reference, our TMS plans and executes over 60,000 truckloads per day or roughly $70 million of transportation spend per day across over 200 clients in 1 multi-tenant system. Uber Freight can now extend their ability to secure additional revenue to our clients at their very point of decision-making 60,000 times per day, automatically, with no personnel involved. 
 This partnership increases Uber Freight's chance of capturing a portion of that $70 million market every day. For our brand owner clients, they get to access increased capacity and potentially lower freight rates automatically from one system. Our technical and commercial innovation creates real and substantial value for both the brand owner and the transportation provider. 
 This innovation is an example of capturing the incremental value we saw in the BluJay combination. This is an initial, although small, and important step to creating a two-sided network where both participants gained value from our network, paying E2open a small portion of the value that's created by leveraging our network and our applications. 
 What is most exciting about this is that we were able to secure 2 additional large digital freight brokers as clients to use this technology as well and several more in the pipeline. The scale of our multi-tenant TMS application allows us to form a unique marketplace for both buyer and seller of transportation services benefit greatly from this technology. 
 Partnerships are also part of our growth strategy. And we continue that growth in Q2 by expanding our partnership with Shippeo, a leader in providing real-time global multimodal transportation visibility. This partnership unlocks additional value for our clients by combining an unprecedented level of transportation visibility into E2open's full range of supply chain planning and execution capabilities, all modes, all geographies, beyond simply loading shippers to a transportation delay. 
 The platform now enables users to peer inside and understand the specific goods that are moved, how transportation performance will impact their customer experience, and most importantly, proactively take the best action. This level of control at a global scale enables enterprises to improve efficiency, reduce waste and operate more sustainably across even the most complex global supply chains. 
 I'd like to touch on something that is extremely important to me personally. Our mission statement refers to our desire to lower the cost of everyday living by reducing unnecessary costs in the supply chain and to improve our environment by leveraging our software to reduce the carbon required to make and bring goods to market. 
 Yesterday, we released our annual environmental, social and governance report, ESG. This is an ongoing journey for us. And e2open is proud to make tremendous progress in this area. Not only are we evaluating our own ESG commitment as a company, but we have significant leverage to help the global effort by delivering solutions to help our clients' ESG efforts, specifically in reducing their carbon footprint. 
 Monitoring and managing activities outside the 4 walls of an enterprise is key to managing ESG. You'll see incremental steps in our platform's quarterly releases and our aims to unify the connected supply chain to make positive impacts for people and our planet than improve planning, reduce waste, and GHG emissions, optimize inventory, protect labor and human rights in the supply chain and facilitate compliance and reporting. 
 Our recent release allows our clients to use a templatized approach to gather ESG data from their suppliers. The result is a more accurate view of supplier-specific ESG risks, low score trigger third-party audits, strengthening due diligence, enabling data-driven reporting and risk management. As I said, our ESG report and our preliminary strategy were released yesterday. And I encourage you all to visit our website to check it out. 
 Finally, E2open continues to gain third-party recognition from industry analysts. This includes being named as a leader in 5 of the 5 IDC MarketScape vendor assessments for supply chain planning, including the overall worldwide holistic supply chain planning MarketScape. We are also recognized as a leader in the 2022 Nucleus Control Tower Value Matrix. 
 In summary, we have been very productive and very busy in our second quarter, building for the future while also producing strong operational and financial results. We are excited about our multiple growth opportunities in front of us, and we remain focused on executing our strategy. 
 I'll now turn it over to Marje to go into more detail about our financial performance for Q2 and the rest of the year. 
Marje Armstrong: Thank you, Michael, and good afternoon, everyone. As Michael mentioned, we're pleased with our second quarter results. We reported subscription revenues at the high end of our guidance range, a testament to the tireless focus and dedication of our team.
 Like other companies, we continue to navigate macroeconomic headwinds, including foreign exchange rate volatility, higher inflation and interest rates as well as elongated sales cycles where our clients are distracted by geopolitical and macroeconomic considerations of their own. 
 Regardless of these temporary headwinds, the stability of our subscriber base on long-term contracts and the further need in the marketplace for robust supply chain solutions has not changed. We firmly believe in the significant market opportunity ahead of us, and we continue to make strategic investments to ensure a long-term growth path for the company. 
 I will detail shortly where we stand with investment spend that was part of the plan for the year outlined at the end of our last fiscal year. While investing in the future, we also keep a keen eye on near-term profitability as part of E2open's long-standing strategy of balancing growth and profitability. 
 We're taking a measured approach to headcount growth, remain highly focused on continuing to unlock cost savings by eliminating duplicative system spend and exiting select office spaces. We are internally aligned in our focus to drive towards the highest long-term free cash flow growth algorithm. That is our North Star. 
 In my first full quarter as the CFO of E2open, we have also taken a targeted approach to standardizing internal processes and operating cadences, reviewing team structures and defining improvements to drive additional medium- and longer-term efficiencies across teams. 
 In addition to identifying operational efficiency, we're also looking for ways to reduce financial risk and noise from our results and to allow for a focus on the true fundamentals of the business. As an example, we hedged a portion of our Indian rupee cost this quarter to eliminate future volatility around this cost item. We do not have an Indian rupee denominated revenue, only cost, which is why we chose to hedge that currency, not the euro or the pound, where we have both revenue and cost exposure, providing a natural hedge. We will opportunistically look to hedge or eliminate all pure financial volatility and complexities over time. 
 To sum up, the focus is on simplification, transparency and efficiency across the organization in order to scale and drive further future operating leverage for the business. We will continue to invest in the business to fuel top line growth, but we will also carefully and continuously evaluate all decisions to ensure they are long-term ROI positive with the eye towards compounding free cash flow growth. 
 Now to get to the details of the quarter. I will begin by reviewing our fiscal second quarter results, briefly touch on our progress integrating our recent acquisitions and then finish with an update to our guidance. Thereafter, Michael and I will open the call to your questions. As a quick note, I will talk about our results on a non-GAAP basis. We show a reconciliation to GAAP measures in the press release, which is available in the Investor Relations section of our website at e2open.com. 
 In the second quarter of our fiscal '23, we reported subscription revenue of $131.6 million, reflecting an organic revenue growth rate of 8.6% on a pro forma basis or 10.7% on a constant currency basis when adjusting for the negative $2.5 million year-over-year impact from foreign exchange fluctuations. 
 In the first half of fiscal '23, organic subscription revenue grew 11.4% on a constant currency basis. Professional services and other revenue were $29.1 million, reflecting a decrease in organic growth rate of 1.1% on a pro forma basis or an increase in growth rate of 1.2% on a constant currency basis when adjusting for a negative $700,000 year-over-year impact from foreign exchange fluctuations. Our subscription revenues are growing faster than our services revenues as part of our overall strategy to focus on durable high-margin subscription revenue. 
 As we mentioned on our previous earnings call, we are strategically shifting our services revenues to new partnerships with system integrators as part of the planned extension of our channel ecosystem in order to aid our future subscription revenue growth acceleration. I will provide more details on these investments shortly. However, there were also some temporary negative impacts to our services revenues in the quarter that we are addressing and expect to normalize for the balance of the year. 
 First, we were capacity constrained in Q2, which did not allow us to capture as much services revenue as was available. This was mostly due to higher-than-normal turnover in our prior quarters as part of broader industry-wide trends. We have focused on bringing new hires through training and expect to see these issues abate as, overall, our attrition has moved back to historical levels. 
 Second, I would also note that our logistics business product migrations are taking slightly longer than expected and resulted in a temporary impact of depressed revenues as we are providing free hours to complete the project. Again, we're addressing both issues and expect the trends to improve for the balance of the year. 
 We reported total revenue in the fiscal second quarter of $160.7 million, reflecting a total organic revenue growth rate of 6.7% on a pro forma basis or 8.9% on a constant currency basis when adjusting for a negative $3.2 million impact from foreign exchange fluctuations. 
 In the first half of fiscal '23, total organic revenue grew 10.1% on a constant currency basis. Our gross profit was $106.9 million in the fiscal second quarter, reflecting a 1.6% increase on a pro forma basis or a 2.9% increase on a constant currency basis. 
 Gross margin was 66.5% or 66.0% on a constant currency basis for the second quarter of fiscal '23 compared to 69.9% in the comparable period in fiscal '22. Our gross margin was impacted by several specific items that were not present in the year-ago period. Adam is pulling up a couple of supplemental slides we prepared to help walk through the details. These slides are also posted to the Investor Relations section of e2open.com. 
 The first bar on the slide represents FX, which had an approximate $1 million negative year-over-year impact. The second bar shows strategic system integrator impact to gross margin, which was $2 million this quarter, but not present in the year-ago period. As Michael mentioned, we have been investing in building an ecosystem, training staff and developing go-to-market capabilities with global systems integrators, such as KPMG and Accenture. This is part of the previously disclosed $20 million investment spend for fiscal '23. 
 Third, as we're integrating our logistics acquisition from earlier this year, we are upgrading the logistics legacy products to a platform integrated with E2open's common infrastructure while also adjusting their go-to-market to our standard approach. These transition costs represent an approximate $1 million drag to our gross margin on a year-over-year basis. 
 And lastly, as we discussed last quarter, the timing of our merit increases and promotions fell into the second quarter this year versus third quarter in the prior year. This is purely a timing difference that led to an approximate $2 million negative impact on a year-over-year basis, representing both the September 2021 and June 2022 merit and promotions. 
 Adjusted EBITDA was $48.3 million. Adjusted EBITDA margin was 30.1% or 29.0% on a constant currency basis for the second quarter of fiscal '23 as compared to EBITDA margin of 33.5% during Q2 of fiscal '22 on a pro forma basis. I will also walk you through the specific items impacting our second quarter fiscal '23 EBITDA that were not present in the year-ago period. These are items specific to E2open and in addition to the overall post-COVID increase in [ TME ] and other expenses as we have returned to in-person work environment. 
 To move to last quarter, FX was an approximately $1 million year-over-year benefit to our EBITDA line. We have natural cost hedges to our largest top line currency exposures, which are the euro and the pound, along with additional costs in other currencies. 
 The second bar on this slide, investment spend, refers to the previously disclosed totaled $20 million fiscal year '23 investment in system integrator ecosystem, marketing and internal support for investment spend, which totaled $6 million in the second quarter. 
 As we showed on the prior slide, approximately $2 million of the $6 million relates to the system integrator spend and, therefore, sits within our gross margin line. The balance of the $6 million is part of OpEx and only impacts EBITDA. Investment spend had just started to ramp last quarter, totaling less than $2 million, but has now reached the approximate run rate for the year. 
 Finally, merit increases and promotions represent an approximately $4 million year-over-year negative impact to EBITDA, inclusive of both COGS and OpEx line items and, again, representing a double impact as explained before. There is no negative impact from logistics as OpEx synergies nearly offset higher costs described earlier. 
 Adjusted unlevered free cash flow for the second quarter was $40.6 million, which represents a flow-through of 84.1% of adjusted EBITDA. Adjusted earnings per share for the second quarter of 2023 was $0.05. As discussed before, driving bottom line profitability and free cash flow continue to be important priorities for us. 
 I also wanted to provide a brief update on our recent acquisitions. The logistics -- as mentioned before, upgrading the logistics legacy products to a platform integrated with E2open's common infrastructure is taking a bit longer than expected. We're seeing some higher-than-expected transition costs and lower services revenues due to 3 hours for additional work as a result. However, we remain on track with starting to materialize on OpEx cost synergies. Total synergies related to the recent logistics combination were projected to be just over $10 million. We still expect to action approximately 85% of run rate savings by the end of fiscal '23 and realize 50% to 60% of the run rate savings by our fiscal year-end. 
 Now turning to our BluJay acquisition. We're nearly complete with the execution phase of our integration of BluJay Solutions that closed on September 1, 2021. Last year, we announced that our total synergy target related to the BluJay combination was projected to be more than $25 million. We have surpassed that amount and we have actioned over 115% of these synergies as of the end of our fiscal second quarter. 
 Back-end integration is nearly complete. There is a huge lift of being able to integrate a company half our size in 12 months. We feel very good about the combination with BluJay and are excited about the continued cross-selling opportunities beyond the stated cost synergies. 
 Now on to guidance. We are maintaining our initial revenue guidance ranges on a constant currency basis for fiscal '23. Given additional foreign exchange rate moved since we last provided guidance, especially in the British pound and euro, we have adjusted our guidance to the latest rate. 
 Our GAAP subscription revenue for fiscal '23 is now expected to be in the range of $535 million to $543 million, which includes an approximately $3 million additional negative FX impact compared to the last time we reported earnings. We now expect an $11 million negative headwind year-over-year from FX. 
 Our subscription revenue organic constant currency year-over-year growth is expected to be in the range of 10.8% to 12.4%. Total GAAP revenue for fiscal '23 is now expected to be in the range of $668 million to $676 million, including an approximately $4 million additional FX impact since the last time we reported it. We now expect a $14 million negative headwind year-over-year from FX. 
 Our total revenue organic constant currency year-over-year growth is expected to be 10.7% to 12.0%. We continue to expect non-GAAP gross profit margin to be in the range of 68% to 70%. We're also reaffirming our adjusted EBITDA guidance in the range of $217 million to $223 million after our previously announced strategic investments. We can maintain our EBITDA guidance for the year despite the $13 million incremental FX headwind to our top line due to our natural FX hedging and keen cost control focus, as described earlier. 
 Now to quickly touch on Q3 guidance. GAAP subscription revenue for the fiscal third quarter of '23 is expected to be in the range of $131 million to $134 million, including a $4 million year-over-year FX headwind. This guidance range represents an 8.1% to 10.5% year-over-year growth rate on a constant currency basis. As a reminder, quarterly subscription growth rate fluctuate from quarter-to-quarter, which is subject to timing and revenue recognition of new sales, renewals and churn of larger transactions. 
 Annual growth rates are more indicative of growth rates for our business. There are also several macro-driven impacts to our top line that we already discussed last quarter. Elongated sales cycles in some cases and pressure on volumes impacting the small part of our subscription base, that is subject to volume-based variability. 
 We did see several large deals in our pipeline, mainly in Europe, pushed from the second quarter into the third quarter. We still expect these to close in the third quarter. But given there is generally a 1-quarter lag when we start to recognize revenue, our third quarter growth may be slightly lower than the full year trend. 
 These near-term macro-driven impacts do not change the strong long-term growth trajectory we're on. Michael discussed earlier, we have an incredibly well-positioned software platform, large TAM, strong strategy and a focused and highly capable team to execute the strategy. We remain excited to be investing in the significant growth opportunities we see ahead of us with an eye towards long-term compounding free cash flow growth, our North Star. 
 Thank you, everyone, for joining us today. We look forward to finishing this year strong and updating you on our results and progress next quarter. With that, Michael and I would now like to take your questions. Operator, we're ready to begin the Q&A session. 
Operator: [Operator Instructions] The first question is coming from Chad Bennett with Craig Hallum. 
Chad Bennett: So just maybe a quick housekeeping question for Marje. I see -- I think you recorded a roughly $514 million goodwill impairment in the quarter. Can you give us an idea of what that was related to? 
Marje Armstrong: Thank you so much, Craig, for the question. Yes, absolutely. So the impairment of goodwill was just triggered by a decline in our stock price. This is a GAAP-required impairment, similar to other companies that have had to take that given the market conditions and stock price moves, but that's just a audit GAAP-required impairment. 
Chad Bennett: Got it. Okay. And then, Michael, just in terms of your kind of macro commentary on ocean bookings and container rates and spot rates and OCR, I mean -- I think if the data is correct, I mean ocean container rates have been off significantly since the spring and throughout the whole summer. And I think over-the-road rates have been tough for a while or coming in for a while. 
 Is there something -- is it just kind of the length of kind of the compression in those macro data points? And I appreciate the company-specific indicators that Marje talked about, about elongated deal cycles and a couple of deals in EMEA. I think you pointed to some deals in the tech sector in EMEA last quarter. 
 So just kind of trying to reconcile from a company-specific standpoint what you're specifically seeing -- well, you're still kind of reiterating second half guide from a constant currency basis. 
Michael Farlekas: Yes. Thanks, Chad, for the question. Yes, I was -- I'm differentiating the -- our view of the macroeconomic conditions and then focusing on what it means for us. So for us, we are seeing some elongation. It's similar to last quarter, Europe and in the high-tech world. But given that a lot of our new subscription comes from existing customers, we can kind of maintain our revenue guide for the year. 
 It is a more difficult environment. And my expectation is that's going to continue for a while. We've built this business, as I indicated, with lots of different ways to win. And I think it's really, in our view, a testimony to the resiliency we have in our revenue model that we can absorb some of those elongation and still hit our numbers. 
Chad Bennett: Got it. And then maybe one last one for me and I'll hop off. But just, Michael, I think it's been close to 1.5 years since you've really ramped the new logo team over the last 5 to 6 quarters. And just -- and I think $20 million in go-to-market investments, that's, I think, a decent part of it. Just kind of give us a sense of new logo activity in the current environment and how that team's progressed. And then I'll hop off. 
Michael Farlekas: Yes. Thanks. The $20 million really is for this year. The initial new logo ramp of the team started last year, and we continue to see good progress on that. It is fair to say though that in a more challenged overall macro environment, it's more difficult to get new logos than it is to get existing client subscriptions. 
 I think we've historically had been 15% of our new net bookings be from new logos and that increased to the mid-20s. And we're seeing that dip a little bit, but our pipeline looks strong and our pipeline continues to grow sequentially month on month. 
 So -- and entering into a slowing economy, which I think everybody sees. And I've been through this in 2002, 2008. It's just easier to get more and maintain your growth with existing customers and new logos, mostly because of the customers realizing and not want to take additional risks. And that means it affects us a little bit on the logo side for temporary reasons. So we don't see really anything macro, which is that, right now, it's going to be a tougher environment for the next 1 to 3 quarters. 
Operator: Up next, we have Mark Schappel with Loop Capital. 
Mark Schappel: Question for the services business. I believe last quarter, it was mentioned that you were closely watching that business for a few customers you saw doing some projects, and you were going to keep an eye on that. Any update on that you can provide? 
Michael Farlekas: Yes. We've seen the demand there. I think Marje kind of touched on this. We are seeing 2 pretty -- 2 impacts to our services business. And I'll say 3. One is the continued detachment from our subscription growth and our services growth. I mean part of that is because we have additional revenue sources that don't come with any services. It's a positive in kind of the overall gross margin profile. 
 The other 2 is we had -- we were subject to, as everyone was, through the great transition in the December, January time frame of a lot more attrition than normal. That's -- everybody saw that. And I think we saw -- we're seeing a little bit of capacity constraints because of getting the new people in and then ramped up. You have to kind of remember a lot of our services is deployed in Asia where you have notice period. So that affects us both on the outside and the inside. So it was kind of all showing up in Q2 in terms of a bit of capacity constraint. 
 And then Marje touched on logistics. We acquired that business on March 1. And that business is a great business for the long term, but it's a smaller business, about $30 million. And what we've seen for companies of that size is we oftentimes inherit issues with customers that we have to absorb and take on. And that's kind of been our ethos and how we've been able to grow the business. 
 So those 2 impacts we see are really kind of driving a little bit of the flatness in services revenue. Overall, in terms of the high-tech environment, that's actually gotten a little bit more normalized. I think the people that were going to slow down have slowed down. And now we're actually seeing some ramp-up with some very large projects. 
 So I think the services business will continue to grow slower than our subscription. We've seen that now for several quarters. And I do think this issue of capacity constraint and logistics, kind of a little bit of a fixed plan, will wash out here in the next quarter or 2. 
Mark Schappel: Okay. Great. And then circling back a little bit to the earlier question, and I appreciate your comments on ocean bookings and over-the-road spot rates. But macro-wise, I was wondering if you could just provide some additional details about what you said in your prepared remarks around deals pushing from Q2 to Q3 in Europe. And maybe just a little bit on industries or, in particular, countries where you're seeing this. 
Michael Farlekas: I think it just falls into the category of companies. When they signed a contract with us, they signed a contract that's intended to last for 3 to 5 years, which means the contracts always get a lot of scrutiny. And companies will always kind of revisit and say, okay, is this the right time? Do you want to wait and do more checks? 
 And we've kind of seen that really kind of in a couple of select cases, especially on the new logo side where companies say, okay, let's just do one more review. I think that's just kind of companies identifying that the market overall is in a very choppy condition right now. We have a lot of cross currents that's happening in the environment with interest rates and clear indicators of economic slowdown, but then you have full employment. 
 So I think companies are really trying to figure out like everybody, like we are, how do you reconcile all of those data points. I think that just means do a little slower decision-making overall. The main indicator for us is pipeline, and our pipeline continues to grow in excess of what we closed. And that's been the case now for several quarters in a row for the past year. 
 So we don't really see anything other than this might take a little bit longer, a month or 2, to close some deals. But I think that's kind of normal in this environment. I say nothing too specific. It's just kind of overall, that tends to happen in this kind of environment. 
Mark Schappel: Then one final question. Product-wise, do you see any particular trends or strengths in certain products this quarter versus other quarters? 
Michael Farlekas: Yes. We've mentioned the -- what we've done with Uber Freight, and that's pretty -- it's pretty important to us. We have a 400,000-participant network. That's really important to deliver the solutions that we can for our clients. It's really kind of our biggest and most important differentiator in our moat. And now we are identifying interesting ways to add significant value to not just the brand owners, but also network participants. 
 So Uber Freight is an example of that where we effectively are starting the beginnings of a marketplace. So that's really interesting for a lot of people who are coming to us for that service. I think that's one. 
 And the other is continuation of global trade where you have a lot of interest in terms of what I can ship to whom when, and we're really seeing that. And that's actually one of the big areas that Accenture is investing heavily in because they see that kind of in their data as well. So those 2 are really kind of the big areas that I'd highlight right now. 
Operator: [Operator Instructions] Up next, we have Andrew Obin with Bank of America. 
David Ridley-Lane: This is David Ridley-Lane on for Andrew. Could you talk about pricing in the current environment? Have you taken any steps to increase pricing or the annual price escalators on new contracts? Are customers receptive to that? 
Michael Farlekas: Yes. We have been taking price -- really, for the past, I call it, year, we've taken price in our services business pretty consistently. We've taken -- and that also kind of -- one of the things that we always do is kind of focus on the pricing of our services for that business. 
 We're also taking price in terms of just raising our list price 2 quarters ago. And what we found is that our average discount rate has actually gone down while we raised our overall list price. It doesn't flow directly through to us because of the nature of our contracts. 
 Now we have 3-year contracts on average. But since we extend contracts with additional sales, about 20% of our contracts renew. So we are seeing that flow through. It just doesn't have an immediate and dramatic impact to our business, right, in the current 1 or 2 quarters. But we are taking price and we have been able to do that. 
 And I think it's also indicative that on our escalators, they're much easier now to put into contracts where 2 years ago, when you had basically 0 CPI, you had a lot of pushback from purchasing agents. Now that's becoming much more acceptable in terms of getting CPI escalators within the contract period itself. A lot less pushback than we normally got a couple of years ago. So I think the idea of pricing is definitely real for everybody, and we're certainly taking our share there. 
David Ridley-Lane: Got it. And then obviously, it takes time to ramp strategic alliances with systems integrators. But could you help us frame what success would look like for you in fiscal year '24, sort of calendar 2023? You mentioned, I think, partners influencing 25% of the pipeline. What would kind of success look like of some [ various ] relationships? 
Michael Farlekas: Yes, thanks for the question. I think it really comes into 3 categories. The first is having a larger ecosystem of people that can actually deploy our software. And as we said, we have on track to having over 75 this year, which is a lot. It's way more than we've ever even thought about. So that's going really on -- as planned. 
 I think a great indicator for us would be to ramp that to 50%, maybe by -- we had the same metric when we started Q1 and then maybe get that to 2/3 and [ ask some tuning ] out there. But I think the big metric for us is going to be -- and tracking, and this is going to take more time, is how many deals those folks kind of bring to us. 
 And the partnerships we formed have been around the concept of us as a platform. That was kind of our going-in proposition and part of our agreement to invest with them, is that we're not really interested in these big partners talking about open as this particular part of the supply chain or that. But actually for the idea of an integrated end-to-end outside end platform, so the real opportunity is what they will kind of bring to us. 
 We've seen this happen in sporadic cases. We had actually one 7-figure deal this year so far. And I think it's going to start slowly. And again, the investment is going to take time, and I'll see -- I think we'll see this more in '24 than towards the back half, where we hope to see them bringing us more deals and influencing more deals where they have a customer that they already have kind of talked about a completely different strategy. That's going to take a little time. And the real reason we're investing now is to be able to kind of get that influence as we look into next year. 
Operator: Up next, we have Fred Lee with Credit Suisse. 
Frederick Lee: I had a quick question on BluJay. And if you could remind us the historical contract duration there and how renewals have been trending more recently. And by the way, congratulations on the 115% synergies. That's fantastic. 
Michael Farlekas: Yes, I think they have -- their contracts were not as -- and as we found this a lot, the -- most companies we have acquired kind of looked like this, Fred. They would have a 3-year contract to start, and then they would have annual kind of ability to auto-renew on a subsequent year. 
 So if you look at the kind of duration of their contract, it's very long, although the contract length as the contract was written was actually 3 years. But they have a longevity not quite as long as ours, but several years, several cycles. 
 Our strategy has always been to change that where we would actually not like to auto-renew, but where we'd actually like to have a renewal point. And our best contract looks like 3 years where the contract just kind of ends. And there really isn't an opportunity for the client to just auto-renew. And we found that really helps us in terms of setting a line of demarcation in price and also creating an environment where we can really talk about the next 3-year deal and add something to that. 
 So that's going to take a year or 2 to kind of wash through the system. So to answer your question, 3-year contracts, but it doesn't tell the whole story because most of those contracts are on some kind of auto renewal. And we go through systematically and try to adjust that to another 3-year term at the time of our renewals. 
 So thinking auto-renew, we obviously can't do that on our own. We have to work with them to kind of make that adjustment. Does that make sense? 
Frederick Lee: It does make sense. And so how would you characterize the renewal success getting away from auto-renew thus far? 
Michael Farlekas: I think it's -- well, I mean just in the numbers, they were kind of running at a 9-plus percent churn. We were running at 5%, and now we're kind of down to 5-ish, a little below 5%, I think, now, the latest number. So we've seen -- historically, we've seen our ability to lower churn, pretty important to our overall strategy. 
 And we've seen that here with BluJay. So I think that's kind of indicative of how we're seeing those renewals going. I think that's pretty important part of our strategy is to drive lower gross churn. And I just want to just put some context on that churn number. That's gross churn to include reductions in subscription. So our client churn would be much, much less than that 5% for customer churn. 
Frederick Lee: Got it. That's very helpful. And then a quick question on the gross margin drag from logistics, [ the replatform and the ] pro services issues. It sounded like most of that is behind the company? Or is there a little bit more to go? 
Michael Farlekas: Yes. Marje, do you want to take that one? 
Marje Armstrong: Yes, absolutely. Fred, so I would say that there are still parts of it that we are working through. We want to be very thoughtful and make sure that we do everything the right way. So you'll see some of it still trickle through in the next couple of quarters, but it should be trailing off and we'll make sure to, again, be transparent and disclose that on an ongoing basis as well. 
Frederick Lee: Got it. Okay. And then my final question is with regard to the goodwill write-down that was asked earlier. Sorry, which asset was that specific to? 
Marje Armstrong: The goodwill? It's the entire -- it's consolidated the entire company. Again, it's an EY -- our auditor requirement based on -- triggered by the stock price move for the entire company value. 
Frederick Lee: Okay. So is that typically a bottoms-up asset by asset goodwill allocation? 
Marje Armstrong: Yes. 
Frederick Lee: I was just wondering if it was a larger portion that was specific to any specific asset? 
Marje Armstrong: So this is a -- your traditional auditor-driven -- it looks at multiple different things such as [ TCF ], multiples, everything in one reporting unit basis, but it's a holistic company value announced again that auditors ask all companies do on a periodic basis. 
Operator: There are no further questions in queue. This completes the Q&A portion of the call. I'd now like to turn the call back to management for closing remarks. 
Michael Farlekas: Yes, thank you, everybody, for taking the time to visit today. And just to kind of recap, we're very excited about how we're continuing to build the business. We're very excited about kind of all that we're accomplishing as a team. So we look forward to seeing you all in 90 days or so. Have a great day. 
Operator: Thank you, ladies and gentlemen. This does conclude today's conference call. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.